Ciaran Potts: Just as a reminder, statements in today's earnings release and presentation and the comments made by management during this call may be considered forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. Those risks and uncertainties include, but are not limited to, the factors identified in the earnings release and in our SEC filings. The company undertakes no obligation to revise any forward-looking statements. Today's remarks also refer to certain non-GAAP financial measures. Reconciliations to the most comparable GAAP measures are included in today's earnings release and in the appendix to the presentation, which are available at investors.smurfitwestrock.com. Before handing over to Tony, given we have a full day of investor engagement, I would ask you to limit your questions to two, and should you require any clarifications on what we are discussing today, myself and Frank will do our best to make ourselves available after the call. I'll now hand you over to Tony Smurfit, CEO of Smurfit Westrock.
Tony Smurfit: Thank you, Ciaran, and good morning, good afternoon, everyone, and thank you for taking the time to join us today. As you will have seen from this morning's release, we have reported a strong fourth quarter performance with an adjusted EBITDA of USD 1.166 billion and an adjusted EBITDA margin of 15.5%. Importantly, for the full year 2024, we delivered a combined adjusted EBITDA outcome of USD 4.706 billion fully consistent with our stated guidance back in October. On July 5, last year, Smurfit Kappa combined with Westrock to create the new Smurfit Westrock Company. The scale and dimension of this company is quite remarkable. As you can see from this map, we have many operating facilities in many regions across the world with principal operations in North America with approximately 60% of our business, EMEA and APAC with 33% of our business, with the balance being in the Latin America, and that's based on revenue. Our combination created the go-to sustainable packaging partner of choice with an unrivaled product portfolio expertise and scale. To put that into numbers, the number of converting facilities, whether they be in corrugated, consumer, bag-in-box, sack conversion or specialty packaging is over 500 units with 62 mills again in different areas of sustainable packaging, corrugated papers, consumer papers and some specialty papers. To support our paper mills, we have over 14 million tonnes of waste paper, which we process as well as having our own forestry of some 300,000 acres, principally in Brazil and Colombia. With over 100,000 people worldwide operating in 40 countries, generating net sales of over $31 billion last year, it's important to remember that in creating this company, we didn't want it to be just big, but we wanted it to be the best. And you can only be the best in any industry if you have the right management team. Every business will, of course, say that people are their greatest assets to the point that one can be jaded by the statement. But I will say that, the Smurfit Westrock leadership team right through all levels is a team that is stable, experienced and has navigated many different challenges over the years, while at the same time, consistently delivering against all performance metrics. This team and the broader team grew the EBITDA margin of legacy Smurfit Kappa from 13.8% to 18.5%, ROCE from 12% to 17.1%, reduced the leverage multiple from 2.8 times to 1.4 times and increased the dividend 10 times. In parallel, we've invested capital to continually improve the asset base and to support customer growth. I'm proud to say, we have built an irreplaceable and high-quality asset base and footprint that is globally unique. In short, most of this team were responsible for the transformation of the former Kappa Group and successfully delivered for its stakeholders. We have done this by very simply sticking to our knitting. We apply an owner-operator model and a performance-led culture with decentralized operations, where every manager has P&L responsibility for their own operating unit. This, of course, means a sharp commercial focus, whereby the company supports management to improve efficiency, operating costs and to deliver for our customers. And of course, this can only be done, if we reward and continually train our people at all levels of the organization to make them feel unique and part of a unique culture. This is what essentially has led to the success of Smurfit Kappa. So in essence, our team and many of our new colleagues from legacy Westrock have joined together so that we can have a successful bigger and brighter future together at Smurfit Westrock. A lot has already been done. Firstly, we delivered to plan at $4.7 billion of adjusted EBITDA. We did what we said we were going to do. Secondly, we developed a synergy program, which we are more than confident we're going to meet, if not exceed the $400 million, and this will be completed by the end of the current year with the benefits realized this year and next. Thirdly, we have dealt -- as we've delved into the business, we've seen many more opportunities than initially thought, at least in excess of $400 million -- an additional $400 million. We believe that by unleashing the power of our people, there are significant operating improvements through cost takeout, commercial approach and Quick Win CapExes to release greater profitability. As you know, I and my senior colleagues have now visited a significant majority of the facilities. And while there will always be work to be done in our operations across the world, in the current year, we have revised our estimated capital spend to somewhere between $2.2 billion and $2.4 billion, which reflects the strong positioning of the assets. But as I've said before, without assets without -- as I said before, assets without people are nothing. Bad assets can make money, if you have good people and the contrary is also true. I've been so happy in my visits both in Atlanta and the operations around the world to see the enthusiasm and buy-in of people to contribute to the success of the new Smurfit Westrock. In the seven months, I believe there has been a tremendous foundation and platform for growth for the future. Of course, along the way with our model of decentralization and making accountability lie at the closest area it can to customers, it has been necessary to streamline the business. And in this process so far North America Mexico and the rest of the world, over 1,000 people have or will be leaving the company. That said, we've also initiated a major program to train and develop our talent, as we invest behind our people. Like you and the investment community, we believe in investing in good management. In addition to this, over the years, we're continuously optimizing our production. Difficult decisions have been made to streamline assets and you will see from this slide that both Smurfit and Westrock continue to optimize production in both converting and in mills over the recent period. But these are always difficult decisions they make for a much healthier and stronger company in the long term. Well, of course, closing is always difficult. Investing for growth is something we've been continually doing also. Across our world, whether it's in North America, EMEA and APAC or Latin America, converting mills or specialties where we see opportunities for growth we will invest behind them. The examples on this page represent over $750 million of investment in just a few plants phased over a number of years, highlighting the commitment we have to ensuring this company continues to get stronger in order to serve our customers in an efficient and productive way. These examples are purely for illustrative purposes because across all of our facilities worldwide we're investing for growth or cost reduction to ensure our future success, assuming of course these projects meet our expected rate of returns. While we're at the beginning of our journey, it seems hard to believe it's only been just a little over seven months since we completed our combination July 5. What we clearly see is that we will be able to capitalize on our excellent market positions and asset quality to ensure our customers receive their products in the most efficient and reliable way. We see the opportunity to continue to empower and motivate our people, who are and want to be part of our winning team. We believe that we are sharpening our commercial focus across the organization to ensure our efforts and investments have attractive returns. We're committed with our vast data bank of innovative solutions in all areas of our business, to ensure that we give our customers the right innovations and at the right price. And there'll be no change to our operating financial model which is a proven success. We are aligned as senior management as shareholders in the company, and we'll continue to think of capital as a scarce resource which must pay off, so that any capital allocation decisions that we make are in the best interest of all stakeholders. It is a philosophy that has been around this company from the 1930s all the way through to today. I'll now pass you to Ken who will take you through the financials.
Ken Bowles: Thank you, Tony. Good morning, and good afternoon, everyone, and thank you again for joining us. As you can see from the highlights slide here on Slide 14, the business delivered a strong fourth quarter performance with net sales of over $7.5 billion, adjusted EBITDA in line with our guidance of $1.166 billion, an EBITDA margin of 15.5% and adjusted free cash flow of almost $260 million. We are starting 2025, i.e. the transformation journey from a position of significant strength. Thanks to the hard work of teams globally and their dedication to customers and to creating the most innovative and sustainable paper-based packaging company in the world. Turning now to the reported performance of our three segments in the quarter, and starting with North America where our operations delivered sales of $4.6 billion with adjusted EBITDA of $710 million, and a very solid adjusted EBITDA margin of 15.4%. Looking at the historical performance of the segment on a combined non-GAAP basis as per the 8-K filed on 24th September last, we saw a significant margin improvement year-on-year primarily due to higher selling prices, with cost headwinds on items such as fiber sourcing and labor being more than offset by lower energy and distribution costs and by reduced economic downtime. Corrugated box pricing was higher compared to the prior year, while box volumes are broadly stable on both an absolute and same-day basis. Our third-party paper sales saw mid single-digit growth in the quarter and consumer packaging also performed well with volume growth of over 2% when compared to the prior year. As Tony mentioned, we have taken significant actions to streamline the central functions of the segment, and to continue to optimize and invest in the asset base. Crucially, our long-standing philosophy of delivering value over volumes began on day one, and has been embraced right across the legacy operations. Knowledge transfer and the rollout of our unique innovation applications has commenced, and we are changing the business model to drive profit responsibility at the mill and the box plants, while retaining strong central capital controls, where we see significant opportunities to replicate a performance-led and owner-operator culture to deliver for our customers and to drive profitable growth. Looking now at our EMEA and APAC division where the segment delivered sales of $2.5 billion, with adjusted EBITDA of $371 million and an adjusted EBITDA margin of 14.7%. Set against the backdrop of what was a challenging year for the wider sector, which we now believe is behind us. In the region, our operations continued to demonstrate exceptional resilience as sales remain stable with adjusted EBITDA, or adjusted EBITDA margin only modestly lower compared to the prior year, mostly due to higher recovered fiber and to a lesser degree higher labor costs, which were only partially offset by lower energy and distribution costs and higher box volumes. Corrugated box prices were broadly unchanged while box volumes are 1% higher on an absolute and flat on a same-day basis. Our commitment to innovation cost discipline and quality has reinforced our reputation as not only the largest integrated player in the region, but also the most reliable packaging and supply chain partner for our customers. We have continued to make significant investments in our operations through new converting machines, upgrades to corrugators and safety systems and substantial investments in our bag-in-box business, all ensuring we meet the evolving needs of our customers with market-leading innovation quality and service. Our LatAm segment, again, remained very strong in the fourth quarter. As you can see here with slides of $0.5 billion, adjusted EBITDA of $121 million, and an adjusted EBITDA margin of over 23%. Again, we're looking at the comparative performance of the segment on a combined non-GAAP basis as compared to September 8-K year-on-year adjusted EBITDA and EBITDA margin were significantly higher in the fourth quarter of 2024. Corrugated box volumes were 3% lower on a same-day basis with Argentina being an outsized drag on the region's demand picture in the fourth quarter, along with our value over volume strategy seeing some pockets of volume contraction in places like Brazil and Colombia, as we continue to roll through some legacy contract structures. Nonetheless, by leveraging our strong track record in quality and service, we successfully implemented pricing initiatives that were -- that more than offset a negative foreign currency translation impact and the lower volumes in our box business to deliver this strong result. Latin America is a region we have operated in since the 1950s and is built on the best of both legacy companies. The region benefits from growing economies and a diverse customer base. And by leveraging our deep understanding of each local market, Smurfit Westrock is well positioned to continue to drive long-term success. And finally, I want to outline how we think about capital allocation at Smurfit Westrock. Those who have followed Smurfit Kappa over the years will know how this framework is both flexible and returns focused at its core. As a team with deep industry experience, which you saw earlier on in the presentation, we see internally allocated capital the lowest risk and highest quality form of investment and that is a key to the future success of our business. Upon closing the combination on July 5 last year, we conducted a comprehensive assessment of our capital needs right across the business. And as in line at the end of October, CapEx for full year 2025 will be in the range of $2.2 billion to $2.4 billion and well ahead of depreciation. The dividend is also a cornerstone of our capital allocation strategy and the Smurfit Westrock Board recently approved the quarterly dividend of $0.4308 per share, up from $0.3025 per share, again delivering on our promise to pay a dividend stream in line with legacy SKG's progressive policy as we start our full year at Smurfit Westrock. The balance sheet of Smurfit Westrock has significant strength and flexibility, and we are committed to maintaining a strong investment-grade credit rating and indeed, given the scale of our operations and our ability to generate significant free cash flow, we are targeting a long-term leverage ratio of below two times through the cycle. We will also maintain a disciplined approach to M&A and will benchmark any opportunities against all other capital allocation alternatives. And the inclusion of other forms of shareholder returns, underscores the flexibility of the framework to ensure that all avenues to create and return value to our shareholders are considered and benchmarked against all options. Ultimately, the framework at its simplest is about creating long-term value for all stakeholders. Lastly, as we noted in the release, the year has started well. Based on that and assuming current market conditions prevail, we anticipate delivering an adjusted EBITDA of approximately $1.25 billion for the first quarter. And with that, I'll pass it back to Tony for concluding remarks.
Tony Smurfit: Thank you, Ken. As I said at the outset, I'm extremely excited about where we find ourselves in Smurfit Westrock. In our previous incarnation, we have shown and proved that we are a winning company with a winning team that has consistently delivered superior operating and financial performance. It is essentially the same team with significant, very significant added expertise from our new colleagues in Westrock. This company has a truly unrivaled scale with a geographic footprint that is without parallel with a diverse product portfolio and a library of unique designs in all areas of our business. As we transfer innovation and best practice capabilities across the combined platform, we are and will open up opportunities for a growing customer base. What we have seen is that we have significant value-creating opportunities both for growth and for cost takeout. But of course, we will do as we have always done this in a disciplined way and in a way that ensures we get the returns that have been the hallmark of our company throughout its history. As I said at the beginning of the presentation today, we are so excited to have created a global leader in sustainable paper-based packaging. We're just seven months into our current transformation journey, a journey that we have been on before. In that time, we have brought together two cultures to form the new Smurfit Westrock culture. This performance-led culture will be the bedrock of our future success. Our industry has a fantastic long-term future as a producer of the most sustainable, innovative, transport and merchandising medium that our customers and their customers, the end consumer increasingly value. The Smurfit Westrock offering with over 2,000 designers every day, creating unique products across all of our product ranges, gives us a competitive advantage in this fundamentally excellent market. Our team again, has again delivered in the fourth quarter and indeed for the year. We, as a management team, have an owner-operator culture and are committed to continuing to drive growth, efficiency, innovation and cost takeout so that our stakeholders and our customers win. For the full year in 2025, we expect to deliver both continued and meaningful progress on this transformation journey. Thank you for taking the time to listen to Ken and myself, and I'll now hand you over to the operator for your questions. Thank you operator, and we'll take questions when you're ready.
Operator: Thank you. [Operator Instructions] We will take our question. Your first question comes from the line of Philip Ng from Jefferies. Please go ahead. Your line is open.
Philip Ng: Hey, guys. I guess it's great to see your box volumes in North America in the fourth quarter actually stack up pretty in line with the broader industry, despite taking a value over volume approach. So I guess my question is, Tony, as you kind of pivot to having a bigger focus on generating proper returns on the box side and how you commercially approach things taking more local level, what's been the early learnings thus far on the commercial side? And have you seen -- how have the contract discussions progress as you kind of enter the new calendar year?
Tony Smurfit: Yes. It's a very good question, Philip. I mean, I think, the value over volume strategy has been implemented really during -- let's call it during the second half of last year. So we didn't see any real negative effects on volumes as we've gone through understanding some of our profitable and unprofitable customers. And so I would suspect you'll see some volume degradation as we have moved forward into fixing some of those core issues that we've encountered. But that said, the value side of that should well offset that with -- in the majority of the cases. So I think the shortage -- the volume performance that we've had in Q3 and Q4 has been not really affected by some of the issues that we've been addressing and we would expect to see some of those as we move into the first half of this year. I think in particular market of Brazil, for example, we did see some effect where we're pushing very quickly on certain issues and you saw our volumes contract a little bit in Brazil, but yet our profitability went up in Brazil and I suspect you'd see the same effect as we go through 2025 in our other markets. We haven't thus far lost anything significant. But I mean I'm anticipating that we'll probably lose a little bit. But then on the other hand to counteract that Philip, we're going to see our innovations come through our ability to show our customers better ways to package. So all of those things will be in the mix as we go through 2025 and into 2026. And it's actually interesting in Brazil one of our larger customers that we did lose is already coming back to us. So when you have good quality and service and customers need you then maybe you'd be mispricing a little bit in the past.
Philip Ng: Okay. That's great color, Tony. Appreciate it and pretty encouraging out of the gate. And then forgive me I'm, obviously, a lot newer to the European containerboard market. I noticed you and a handful of your peers have price increases in the marketplace for February and March. I guess, out of the gate what's the feedback from your customers and if you anticipate seeing traction? And can you walk us through the mechanics too and how do you see box prices progressing sequentially in the next few quarters? Since we've seen containerboard prices fall the last few months call it in the last three to six months, but you have increases out there. So due to box prices, I guess trigger? And any color, how we should think about box prices in the next few quarters sequentially in Europe?
Tony Smurfit: Yes. Again it's an excellent question, Philip. I mean, if you look at our margins in Europe and I think you can do the work yourself to see how we can stack up with our competition, you'll see that we've radically outperform because of our innovation and business model. And that's in spite of falling paper prices, which have fallen very substantially. And you'll see from, again, some of our independent third-party players that actually produce more paper you'll see that their profitability is de minimis to say the least. And so I mean we've always had this seesaw model that when paper went up, our box prices would suffer until we got our box prices up and vice versa. And that's what you've seen in our -- during the second half of last year where our box prices held up pretty well and we've been able to transfer profitability from paper to boxes. The paper system is completely at the bottom and that's why the industry in general somewhere between depending on the market Philip whether it's Italy, it might be a bit less where in Germany it's a bit more and the central areas somewhere between €30 and €80 has been implemented during the month of February as well as kraftliner, which will be -- which we've announced a price increase for March. And so I suspect they will all go through. And then we will be transferring from corrugated to paper, and then in the next six months that we'll be transferring from back into our corrugated box system and that increase in paper. So it's a continual area of improvement underneath that where we're continuing to invest in our paper mills to reduce their cost base. And then at the same time invest in our corrugated business to increase its innovation. And that's what's worked for us. And then if you look at our margins, obviously, we'd like them to be higher than 15.5% or 15-odd-plus percent, but relative to the most of the peers that's a much higher level because we have this integrated model that works so well.
Philip Ng: Okay. Appreciate the great color. Thank you.
Tony Smurfit: Thanks, Phil.
Operator: Thank you. We will take our next question. Your next question comes from the line of Charlie Muir-Sands from BNP Paribas Exane. Please go ahead. Your line is open.
Charlie Muir-Sands: Hi, guys. Thank you for taking my questions. The first one just relates to the $400 million plus of operational and commercial improvement opportunities that you've identified. I just wondered, if you could give us a little bit more color on some specific examples, and particularly what actions you've taken so far and what are planned to be implemented in 2025?
Tony Smurfit: Yes. Well, I mean, I'll take the first piece of it. It's very simple Charlie, that there was a lot of underselling going on in the past. And clearly, when you get back to plant level responsibility and you see some of the margins that exist, with some businesses and contracts that have been signed, while you can't get out of all the contracts initially, those that you can get out of you will immediately do so, and you won't lose all that business, because you're actually a very good supplier and a high-quality supplier with very good OTIF, which legacy Westrock has been doing it. In general, I would say, it's a good quality supplier. It was a good quality supplier that had been underpricing many of the businesses, much of the business that it was doing, despite investing in its assets over the years. And then the other improvement, I give before I hand it over to Ken, is that frankly speaking, a lot of the things relative to how the businesses were run, were not correctly done, because there wasn't enough focus on it. So we're obviously giving it the right focus, as we push things down. And Rome wasn't built in a day, so it doesn't happen very quickly. But what we can see is just by doing the basics much better, then we'll have tremendous opportunity to improve each and every business. I mean, we don't have in Europe or in the legacy Smurfit Kappa, any businesses in corrugated that lose any substantial amount of money and that's not the case in legacy Westrock and we intend to fix that. And just by that alone, it's something that we hadn't banked on. It's nothing to do with the synergies. It's just about pure basic, running your businesses better. And the people are capable of doing it. It's just they need to be, let's say, the vast majority of people are capable of doing it. They just need to the right direction and we're giving that. And I think that's working very well. I have to say that one of the things, I've been incredibly impressed that is the quality of the people down at the operational level. Indeed, many of the people in Atlanta, who are really getting on board for this program of becoming a part of a winning team. And as I say, I've been really impressed with so many of our new colleagues in Westrock, that I can't speak highly enough of them. Obviously, not everybody is going to make the cut, but those that do, are really going to be part of a winning team. Ken, do you want to add anything?
Ken Bowles: Yes. Hi, Charlie, I suppose, if you leave aside the commercial side of the house, look, it's about shining a light in every aspect of the cost structure that exist. And remember, when you think about this combination, there is two very large public companies coming together. So there's a lot here about leveraging the size and scale of the operation in terms of, what would naturally be combined programs, whether that's around insurance arrangements or external suppliers of the same service or actually just fundamentally looking at the systems in play and rolling out one over the other. So, we're kind of finding them on a phased basis. It would be difficult to kind of pin it to any quarter. We'll know, where they're there. But a lot of things, just wait for the contract to renew. And again, we don't -- we're not going to renew that because, we already have a system in place or we've chosen a different provider or we leverage it for the future forward. So I think, it's kind of an iterative process that everybody is on board with. Both organizations had very active cost takeout program. So, it's not a skill set that's unknown to either side of the house. I think what the level, we're asking to go to here is basically, go back to if you think of the centers, is go back to zero-based budgeting and kind of justify the spend and go from there, which in reality is what the teams are doing. So it will appear in the numbers across the year. But I think, it's more than we said in October, outside the $400 million synergy target, this number we have we have real confidence over because, we can see and feel it around us and progressively the teams are seeing and feeling it as well beyond, if you like the commercial stuff that Tony talks about. So I think, we'll see it come through in the year. And in reality, we're already seeing some of that come through and some good ideas around, how we can accelerate that.
Charlie Muir-Sands: Fantastic. And just my brief second question. Just regarding, your Q1 expectations, can you give any color on whether you think maintenance costs are going to be particularly different year-on-year or quarter-on-quarter? And if there are any other big moving parts, you want to call out that's embedded in that guidance, beyond the kind of operating and pricing and volumes, et cetera? Thanks.
Ken Bowles: Yes. Sure, Charlie. I think the year started well from the demand perspective. So probably not a lot coming through there in terms of its volumes will be fine. In terms of pricing, given Tony's comments on where paper sits, unlikely to see any massive impact on paper or box in the first quarter. Broadly most of the cost book has remained stable. Energy in Europe, clearly spiking a little bit over the last few days, OCC kind of trending around the same kind of levels. And then in terms of maintenance downtime quarter-over-quarter, I think the net impact is actually largely material. I think it's $10 million less in quarter one versus quarter four last year.
Charlie Muir-Sands: Great. Thank you very much.
Tony Smurfit: Thanks, Charlie.
Operator: Thank you. We will take our next question. Your next question comes from the line of Gabe Hajde from Wells Fargo. Please go ahead. Your line is open.
Gabe Hajde: Thanks and good morning.
Tony Smurfit: Hi, Gabe.
Gabe Hajde: I wanted to ask about just the price discovery process in North America, specifically but just now that you've had six months or more and looking across both sides of the pond. Price discovery in North America, how important is that process kind of on a more medium-term basis? And at this point, do you guys sort of envision trying to decouple from some of the benchmarks that are out there implementing your own kind of pricing models with your clients over time?
Tony Smurfit: I'll take the second part of it Gabe, and then I'll ask Ken to talk about the first part. Obviously, there's a lot of noise about RISI, and whether or not we should decouple. I mean we in a sense are decoupling to some extent, because whenever we feel that the pricing of individual customers is badly done then clearly we'll talk to them. And if there are other extraneous factors such as inflation, such as higher costs in a particular region of energy then we will again address that individually with our customers. And we have made a lot of provisions in many of our contracts in Europe, specifically about putting in inflation clauses that weren't there in the previous cycle, if you want to go back to prior to the inflation movements. So we have adjusted things considerably. With regard to RISI, I don't yet have a better benchmark. We try to be fair with all of our customers over the long period of time. And basically, there is one benchmark out there for our customers and ourselves to try and look to see where pricing movements of paper are going and that's RISI. And so we don't have a better benchmark than that. Sometimes, you could argue that the tail wags dogs and I know some of our competitors have been saying that that the integrated – or sorry the independents are wagging that particular issue. But I think over time, it has proven to be a reasonably good benchmark. But you do have to have within your own pricing with customers ways to move things if things go outside of the paper movements and that's what we do. So until somebody comes up with a better idea, we'll probably stick with where we're at with our customers because we think it's basically fair. Now I'm not saying they get it right all the time they don't. But like obviously, that's what we think is the best movement for the time being. Ken?
Ken Bowles: Sure. Hey, Gabe, hopefully, I'm understanding your question correctly, Gabe, but if I don't please, correct me. But in terms of our price discovery, if you like within Westrock, I think fundamentally I think the model at the Westrock business operated was one of an integrated margin across both businesses. So combining the paper and the box business to deliver one combined margin for the organization. That's sort of counterintuitive to us slightly because you take the focus on the mill and the box plant individual and we see those as two profit centers. So I think when we broke out of that and place the mills back in the mills and boxes to boxes, you were able to see quite clearly where value was being delivered and quite simply where value was not being delivered. I think you aligned that though with the profit responsibility at the local level which we're driving down which gives people a very individual focus on what they're achieving and delivering and quite simply against our peer set in the country and indeed against the group overall. So it is really about being as granular as you can on the income statement and giving people responsibility and control and indeed accountability over all those items. And that flows directly into where our capital sits, because quite simply the model is we allocate capital based on returns but you need to be able to see those returns at the lowest level possible. And indeed generate those are trying to generate additional capital at least you can see where capital wins and capital quite simply doesn't win. So I think that the discovery piece was moving away from a blended margin back to individual margins which allows pure accountability at the local level. Hopefully I've captured that there.
Gabe Hajde: Yes. No -- that's helpful. One on just maybe more nearer term you gave us a $1250 million for the first quarter and I appreciate there's no good year at least in the past five that's, sort of, representative. But when we think about the organization maybe in halves you're realizing this $400 million of kind of identified synergies plus the incremental is there a way to think about waiting for -- and then maybe taking into account just maintenance. You mentioned I think $10 million lower on a sequential basis into the first quarter, but weighting first half to second half in terms of earnings power for the business.
Ken Bowles: Not really. I don't think -- at this point given where we see it in terms of pricing and the cost inputs Gabe, it's really very largely phased broadly similar quarter-to-quarter as we sit here now. Clearly that will be changed if paper prices come through by the end of March for example you expect to see some price progression on boxes as we get towards the back end of this year. But absent everything else I think when you look at the statement and that comment at the end that Tony makes around continued your progress. I think you can take that as broadly the quarter we sit in annualized plus what we're doing as you say around synergies and some of the other commercial opportunities.
Tony Smurfit: Yes. Typically speaking, Gabe your first and last quarters are a little bit weaker than your middle quarters. But , obviously, it depends on the year, it depends on the movements of different aspects, depends on what happens with energy, depends on what happens with -- but with any number of factors that could be coming in to affect you. But normally speaking your busier months are summertimes for packaging products and spring and summer and fall.
Gabe Hajde: Thank you. Good luck.
Tony Smurfit: Thanks, Gabe.
Operator: Thanks, Gabe. We will take our next question. Your next question comes from the line of Lars Kjellberg from Stifel. Please go ahead. Your line is open.
Lars Kjellberg: Thank you. And thank you for providing first quarter guidance. I just want to get some more sense of the cadence of synergies. I mean you speak to around $400 million by year end. How should we think about this as the year develops? I mean, you've taken out a chunk of fixed costs et cetera and last year and which of course should be in the numbers now broadly speaking. But how again cadence of that? Second point when you're talking about the opportunities beyond that $400 million, do you expect to get any of that coming through in this year? I guess you need to spend the money and -- but I suppose this is not all CapEx related. So any of that should surface in 2025 we should be really looking beyond into 2026 to get that incremental?
Ken Bowles: Thanks, Lars. But the look at my boss' face says I'm getting both of these questions.
Tony Smurfit: No, I'll help you on the second one.
Ken Bowles: It's I think look if we take the synergy number I think you're going to see it phased ramping up as we get through the year. I think the $400 million full run rate for 2026 still sits there. I think don't forget the cost to achieve which is in the order of $235 million. I think the net-net for this year we probably see is about in the $150 million space you'll see coming through the income statement. That includes the cost to achieve. I think in the first quarter you could probably think about that number as being something like $30 million if you want to put something out. But we'll know by the -- we'll sort of know by the end of the quarter what the impact and achievement was all in that sense. On the second $400 million -- a lot of that is not necessarily linked to CapEx predominantly. We are -- we talked a little bit in the last quarter about our Quick Win program. But it's not CapEx dependent. So you should see it come through the quicker we get at it but harder equally to identify because it's just about quite honestly it's the hard yards on taking cost out in a lot of places. And as Tony said earlier on the commercial side it really is about waiting for contracts to come up for renewal and then renegotiating in a way that's more profitable quite honestly to than the previous contract. So more difficult to face. But I think all we can do as you know as well is as we get through the quarters we can give you some good ideas on where we've hit or landed to and indeed how we think about it in the context of the full year probably have much more better visibility as we get through quarter one and two to be fair.
Lars Kjellberg: All right. Just one on the dividend. Was there any other consideration than just getting back to the old Smurfit Kappa dividend or anything else behind that big increase in Q4?
Ken Bowles: It's -- there was a lot of debate Lars as can imagine because you're trying to align two very different policies, two very different payment cycles and two very different trajectories over the last number of years. I think on balance where we left it was if you think about the 2023 dividend for Smurfit Kappa shareholders being at $1.64 I think in real money, the Westrock shareholders probably would have end on the cash base in 2024 about $1.21 actually. But I think the dividend for Smurfit Kappa in 2024 was much higher than that based on the fact that the last two quarters were $0.30, so probably landed in the $1.80 space. So, trying to triangulate between those three things to give what still presents as a progressive dividend forward land us back at we think the Smurfit Kappa 2023 dividend of $1.64 plus a reasonable increase of 5% gives you over the four quarters where you end up with the $0.43. I think equally when we talk about the allocable cash flows and how they're split more than we've done in the past, I think that represents a fair share of the pre-CapEx cash flow. It's probably something in the order of 22% to 25% for the year. So, they were really the broad considerations around how we got there.
Lars Kjellberg: Great. Thank you.
Ken Bowles: Thanks Lars.
Operator: Thank you. We will take our next question. Your next question comes from the line of Detlef Winckelmann from JPMorgan. Please go ahead, your line is open.
Detlef Winckelmann: Hi there. Thanks for taking my question. Just two ones quickly. Maybe the first one just to clarify. You mentioned a synergy number of $30 million underlying that $1.250 billion in Q1. If I'm understanding that right, you should be getting a full year synergy number of $400 million so call it $100 million a quarter. Should I be reading that as $30 million of the $100 million a quarter is already in Q1 or just making sure I got that right before my next question?
Ken Bowles: Detlef you think the net would be $30 million. So, remember the $400 million synergy number had $235 million of costs attached to achieve before you get to the full run rate in 2026 if you like of the $400 million in your base. So, the $30 million for quarter one is a net number. For the full year, on a net basis, synergy minus the cost to achieve, you're probably thinking about given the phasing and timing about $150 million slightly ahead of that for the year.
Detlef Winckelmann: Okay. Got it. Thank you. And then maybe just one more follow-up. Just regarding energy and you kind of alluded to it earlier that energy prices are spiking. Can you remind us or give us some kind of guidance as to where your hedging is at the moment specifically in Europe on energy side?
Tony Smurfit: We're about 25% hedged in Europe for Q1 and a little bit less than that Q2, Q3 from Q4. But obviously -- so we will have an effect on energy and that's built into our numbers when we look at it. So, it will be not a material increase for Q1. But as I said, that's built into our numbers in our forecast. Obviously, the big buckets for risk are currency, tariffs, and energy. And unless energy were to really go crazy in March, then I think that we'll be okay on that bucket. We haven't had a question yet on tariffs, but I'm sure somebody will ask it shortly. Obviously, we don't know what's going to happen regard to tariffs in March and that's an open question. And then currencies continue to be volatile. And they are -- the dollar being strong is in one part very good, but it also obviously means something in translation of our earnings backwards from euros into dollars, which is the reporting currency. So, there are some pockets of risk that are moving around. But at the moment, we're okay. But we wouldn't want to see energy spike much more than this as we go through into March.
Ken Bowles: And I would also say that don't forget that when energy prices spike before in Europe, we were well able to optimize our system to ensure that we manage that whatever the impact of that was. And keep in mind too that we probably generate about 50% of our energy internally anyway through renewables and everything else and not necessarily fully expose that kind of price for the unhedged portion.
Detlef Winckelmann: Perfect. Thanks. And then if I can squeeze in one more. And I know you kind of alluded to it regarding the maintenance kind of $10 million quarter-on-quarter. But just more in absolute terms in terms of maintenance is Q1 normally quite a high maintenance quarter? I mean imagine Q1, Q4 quite high, Q2, Q3 not as high. Am I thinking about that right?
Tony Smurfit: No, I think Q2 is normally our highest maintenance because you tend not to do -- in some of the colder climates, you tend not to do maintenance during Q1. And in Q4, you don't do it because the weather issues and then of course, getting staff. So, normally, Q2 and Q3 are the biggest maintenance quarters. And certainly if you look at our forecast, Q2 is probably going to be our biggest maintenance quarter.
Detlef Winckelmann: Cool. Thanks very much.
Operator: Thank you. We will take our next question. Your next question comes from the line of Anthony Pettinari from Citi. Please go ahead. Your line is open.
Anthony Pettinari: Good morning. Tony, you teed up the question on tariffs. So I'm just wondering, obviously, we don't know what form those will take, but what the potential impacts could be either directly or indirectly when you look at your footprint. And I guess I'm specifically interested in -- you have a large Mexican business. And I'm just wondering, how much product maybe crosses the US-Mexico border there?
Tony Smurfit: I mean Anthony, a lot. I mean at the end of the day, it's not us our products that cross the -- we have a very small amount of direct products of ours that transfer across the border, but all the food and vegetables, fruit and vegetables that we do protein that we do on the Mexican border, the Maquiladora region is going across the board and we package a lot of that. So, there will be a -- I would say a very significant customer effect. And obviously tariffs are on the consumer. So at the end of the day is the consumer going to pay 25% more for their avocados and their oranges and the pears and their apples or whatever they buy? We'll have to wait and see because that will be up to the American consumer and how that affects demand. With regard to Canada, I mean Canada is slightly different for us because we've won big mill in Canada and exports to the United States. And obviously that would -- if that mill had to apply a 25% tariff, we'll have to figure out how we would adjust that mill situation there because that would be very uncompetitive very quickly. So we'll have to think about that. So that will be -- so there are two different things. Mexico is really end customer effect on consumer in America and the other is one specific asset we have in Canada. There are other assets in Canada and we do extremely well with those assets and we've got great market positions. And I have to say as I said before, really impressed with the people up there. But we do export to the United States from one of our mills and that would -- we'd have to take a good look at that and it would have an impact on the profitability of that mill. But how long these tariffs last for? Who knows, Anthony?
Anthony Pettinari: Okay. That's very helpful. And then I'm curious in North American consumer, is it possible to say, how volumes or demand has trended quarter-to-date. And I think when you closed the combination, there was maybe a little bit of kind of wait and see in terms of evaluating, maybe the kind of more attractive or less attractive parts of that business. I'm just curious, if you can kind of share your impressions on the consumer boxboard business in North America having the business...
Tony Smurfit: Yes Anthony, we're now a number of months now. And I would say, if you take the consumer converting businesses, I think we've got basically very good assets with very good people. We've got a couple of things to sort out, but nothing -- legacy Westrock has done a great job of closing and consolidating a number of facilities. And I think that we've -- so that's -- I think the converting side is good or excellent. I think our CUK business has global market positioning, sales machines alongside its product, good mill, good market position. So again, I would say is excellent. And then our SBS business, we're a little bit -- well not a little bit -- we're a lot longer in SBS, but we do see some opportunities there because, I think we need a little bit longer, but I do -- I feel reasonably good about the opportunities in SBS at this moment. I might change my mind in three months. But at this moment, I feel reasonably good and I think our team feel reasonably good about it. And then finally CRB, that's clearly an area where the largest competitor in the market has taken a large capital investment plan to develop their business in that area in CRB and the legacy company did not. So, we are still the number two player in the market believe it or not and they're our mills while not great are still supplying our own integration and supplying good quality to our own integration. So that's good. But what plan we come up with for that business depends on how the rest of the market evolves and how we see things evolving in the CRB market. But we're a strong number two player in that business. And customers don't want to have a dominant number one player. So therefore, I think that, we have a strong market position to defend there but we just need to come up with the right strategy for us.
Anthony Pettinari: Okay. That's helpful. I'll turn it over.
Tony Smurfit: Thank you. Anthony.
Operator: Thank you. We will take our next question. Your next question comes from the line of Patrick Mann from Bank of America. Please go ahead. Your line is open.
Patrick Mann: Thanks very much for the call and the opportunity to ask the question. Maybe a bit of a follow-up from the prior one. I mean, you're talking a lot about the back to basics approach and improving all the underlying operations. But if you kind of zoom out a little bit and think about the weighting of the business overall in terms of capacity in containerboard consumer board and converting. If I think about the old Smurfit Kappa you're much more long paper for example. Are you happy with that overall weighting in the balance of the business or kind of structurally or strategically is that how you want it to be set up? Yes maybe just a little bit around that. And then the second question would just be about good cash generation in the quarter. How should we think about the net debt target going from the 2.7 to under 2 over time? If you could talk about that. Thank you.
Tony Smurfit: That's great Patrick. I'll take the first and Ken take the second. I mean on I mean our philosophy as a company we were basically fully integrated in some of our in our containerboard grades in legacy Smurfit Kappa and that would be our intention together with some long-term customers which we have and as a seller in the free market Westrock as is probably one of the biggest sellers in the free market Westrock has some very good has a very good reputation. And we have long-term relationships with some excellent customers that pay the correct price to the company. So we would value that. And if you take those long-term customers plus our integration, plus the synergies that we'll get through integration into our Latin American business, we feel that in a not-too-distant future, we'll be basically balanced in our containerboard system. We will not be ever balanced in our sack conversion system, because we don't have very many sack conversions and we do produce lightweight sack paper. And we do produce a -- and we are long in our consumer board grades and that's something that I don't envisage us ever solving fully but we just have to accept that we'll be a seller of those products and take the cyclicality of those particular products going forward. But they can be good or they can be bad at the moment. I think, they're reasonably good most of them. And but with regard to the core the main piece of our business containerboard I would expect us to be with some outside customers basically a balanced situation.
Ken Bowles: Hey, Patrick on the leverage point of 2.7 -- 2.2, I think we pointed as a long-term target through the cycle. But in reality we're already kind of focused on beginning that journey as we would have done on the former Smurfit Kappa side, to kind of bring us out to a better place in terms of net leverage, I think it happens over a few things. I mean, clearly earnings potential of this organization should be ahead of where it is and equally if you look at where we are in this year that suggests that the top line will certainly grow which no doubt helps your leverage target overall. But I think within the business we see some opportunities around working capital in particular to unlock value in the business and I think as well through the capital cycle. I think it's about disciplined allocation making the returns in the right place and by returns that gives you the cash flow. So, I mean in reality I think the skill and expertise we've had in the past has been around -- that allocated capital driving returns and making those returns if you like pay for themselves through the capital cycle. So if you go back to Tony's kind of track record of delivery size the clearest indication of how we see the journey forward for the next few years which is incremental capital going into the business, both supporting the dividend and its progression delevering as a part of that because you should be driving out more cash than you put in, and equally focusing on the commercial opportunity and growing both the top line and but most importantly I I think the margin. So it is a medium long-term target, but I think we're already beginning to look at the target actions that will take us towards that over the more near term in that sense particularly I think around where working capital sits.
Patrick Mann: Yeah. Thank you very much.
Tony Smurfit: I think Ken, is on the selling point. We believe we've got some good working capital opportunities in the business, as we go forward.
Patrick Mann: Thank you, both.
Tony Smurfit: Thank you.
Operator: Thank you. We'll take our next question. And your next question comes from the line of Matthew McKellar from RBC Capital Markets. Please go ahead. Your line is open.
Matthew McKellar: Good morning. Thanks for all the colors so far and for taking my questions. I'd like to start with just a follow-up question on SBS. You mentioned, seeing some opportunities. I was wondering if you could just elaborate whether these are opportunities to sort of improve your own assets and operations or more related to developments in the market? Any more color there would be helpful. Thank you.
Tony Smurfit: Yeah. Matt, I mean, what I've seen so far is pretty good. I have to admit. But maybe the selling of the product hasn't been 100% focused in the right direction. And so we think we've got some opportunities really in the whole -- through our own integration to sell a lot more as we go forward. So I mean, that's really where we see the opportunity is in the marketplace that we can be a little bit more aggressive is the wrong word, but let's say, a little bit more subtle in how we deal with the market which hasn't been done before.
Matthew McKellar: Okay. Thanks very much for that color. And just second for me. On LatAm you kind of talked about continued progress in cost takeout efficiency, optimization of your cost base being a priority. Could you maybe just refresh us on your top focus items and most significant investments here as well as more broadly just what you're hoping to achieve in this region in 2025?
Tony Smurfit: Yeah. I mean, again, I would say the comment is for all of our regions. It doesn't just sit in the LatAm region. But specifically in LatAm, we have a large opportunity in Brazil. We got a very strong market position in that country with really great assets with good cost takeout opportunities which we've already been identifying and doing, and a lot of progress to be made on the commercial side too. Obviously, when we looked at the margins of the legacy Smurfit business and the margins of the legacy Westrock business, they were quite different. And so obviously we're not going to the lower common denominator. We're going to the higher common denominator. And clearly that gives us massive opportunity to improve the business there. So with -- as Ken mentioned in his speech there, we do have issues in Argentina with regard to volume but that's a country-specific issue. It's a fabulous business there. We're number two in the market. And with the innovations that we bring to that particular region, it's a very exciting region when the country stabilizes. That's always a risk you have Matt in those countries that the countries tend to be a little bit more volatile, but at the same time, when I see what -- even in January when I see the results out of Brazil and how we've developed the business in just a short -- such a short period of time, I think it's a huge opportunity for us to grow.
Matthew McKellar: Great. Thanks so much for the help. I'll turn it back.
Tony Smurfit: Thanks, Matt.
Operator: Thank you. In the interest of time this concludes today's question-and-answer session. I'll now hand the conference back for closing remarks.
Tony Smurfit: Yes. Well, thank you operator, and thank you all for your time and attention today. As I mentioned our objective in Smurfit Westrock is as we've said to realize the considerable combined potential of the companies together. Again, we believe the opportunity is bigger and better than we first thought. Smurfit Westrock I believe is the right business, at the right time. And most importantly as I've said on this call and as Ken has reiterated with the right people to do the job. So thanks for your time. Appreciate you following the company. And look forward to chatting to you individually going forward very much. Take care. And have a good rest of the day.